Operator: Good day and welcome to the American Electric Technologies' fourth quarter 2013 results and conference call. Today's conference is being recorded. This press release contains forward-looking statements, as defined in Section 27A of the Securities Exchange Act of 1934, concerning anticipated future demand for our products, international expansion, and other future plans and objectives. While the company believes that such forward-looking statements are based on reasonable assumptions, there can be no assurance that such future revenues, profits, plans and objectives will be achieved on the schedule or in the amounts indicated. Investors are cautioned that these forward-looking statements are not guarantees of future performance. Actual events or results may differ from the company's expectations, and are subject to various risks and uncertainties, including those listed on Item 1A of the Form 10-K filed with the Securities and Exchange Commission on March 28, 2013. The company assumes no obligation to publicly update or revise its forward-looking statements, even if experience or future events makes it clear that any of the projected results expressed or implied herein will not be realized. At this time, I would like to turn the conference over to Charles Dauber, President and CEO. You may begin.
Charles Dauber: Thank you, Jessica. Good morning, everyone. I'd like to welcome you all for American Electric Technologies' fourth quarter and fiscal year 2013 earnings call. Joining me today is our Senior Vice President and Chief Financial Officer, Andy Puhala. For our call today, I'm going to start with a review of our annual results and our fourth quarter financial highlights. I'll then have Andy walk you through some additional financial details, and I'll come back for some additional comments on our business. We'll then move to a question-and-answer session coordinated by the moderator. First, I'd like to start by saying that I was very pleased by the company's 2013 results. We finished the year with revenues from consolidated operations of $65.3 million, up 21% from 2012. With another record revenue quarter in Q4, with revenues of $18.1 million which is up 21% from fourth quarter last year and up an additional 3% from our previous record revenue reported in Q3. The primary driver for our strong 2013 and Q4 results continues to be our technical products group, which reported record revenue for the year of $49 million, up 26% from last year. Gross margins for the year were 18%, a substantial improvement over 2012 gross margins of 15%. For the quarter, gross margins were 20% compared to 17% for the fourth quarter of last year and up from 16% in Q3 of this year. This is primarily driven by the gross margin increase in our E&I Construction group. We saw their gross margin increase of 21%, which is further evident that our lead focus on energy markets and our exit from non-core municipal electrical construction markets has paid off. Income from domestic operations for the year was up almost 500% to $2.5 million. Income from domestic operations was $700,000 for the quarter, which was up a 113% versus Q4 last year, but was down $100,000 from the $800,000 we reported in last quarter. Moving to our international joint ventures. In 2013, our international JVs reported record aggregate revenues of $105 million, up 6% from 2012. AETI's net equity income after expenses was $2.8 million for the year, essentially flat from 2012. Andy will discuss in more details on our joint ventures, including the Q4 results in his comments in a minute. For the year, we are pleased to announce that AETI net income attributable to common shareholders was up over 100% or $4.2 million. In Q4, net income attributable to common shareholders was $600,000, up 21% from Q4, but down from the $900,000 reported in Q3. I'd like to now turn the call over to our CFO, Andy Puhala, for additional financial details.
Andrew Puhala: Thank you, Charles. To continue were Charles left off, for 2013 we reported EPS of $0.48 per fully diluted share compared to $0.25 per share in 2012. For the fourth quarter, we reported $0.07 per fully diluted share compared to $0.06 per share in the fourth quarter of 2012 and $0.10 in Q3 of this year. The sequential decline is primarily attributable to the reduced activity levels of our foreign joint ventures in Q4. Additionally, our Q4 and 2013 full year results were negatively impacted by our American Access Technologies segment, which reported a loss of $0.7 million for the year, of which $0.4 million was incurred in the fourth quarter. Charles will touch more on AAT, later in the call. As Charles mentioned in his comments, our joint ventures net of expenses had another very strong year overall. Our net equity income from our joint venture companies after expenses was $2.8 million on combined revenues of $105 million. However, our joint ventures performed poorly in Q4 with combined revenues of $5.5 million. AETI's share of the net equity income for the quarter was a loss of $0.2 million after expenses compared to net equity income of $0.4 million in both the sequential and year-over-year quarters. As the JV revenues don't appear in our press release, I wanted to breakdown the international JV activity a bit further. Remember, as minority partners, we only report our share of the net equity income from each of these JVs in our consolidated financials. Our China joint venture, BOMAY, reported revenues of $86.3 million for the year, a 2% increase over 2012's $84.6 million. For the quarter, BOMAY reported revenues of $3.3 million versus $7.6 million in Q4 of 2012 and $18 million in Q3 of this year. Although the results for BOMAY were disappointing in the second half of 2013, particularly the fourth quarter, there is a normal seasonality with our BOMAY joint venture. AETI's Brazil joint venture reported an increase in annual revenues of 40% to $10.7 million versus $7.6 million in 2012. For the quarter, AETI Brazil reported revenues of $1.2 million versus $2.7 million in Q4 of 2012 and $1.4 million in Q3 of this year. M&I Electric Far East Limited, our Singapore joint venture, also known as MIEFE, reported a 14% increase in revenues to $8 million in 2013, up from $7 million in 2012. For the quarter MIEFE reported revenues of $1 million versus $1.2 million in Q4 of 2012 and $1.5 million in Q3 this year. Charles will provide some additional color on our expectations for the joint ventures in a few minutes. For 2013, EBITDA and non-GAAP measure increased by over 50% to $6.1 million versus the $4 million reported in 2012. Our EBITDA for the quarter was $0.8 million versus $0.9 million in the fourth quarter of 2012, and down from $1.4 million in Q3 of this year. Again, this is primarily due to the results of our joint ventures in Q4. Moving to the cash flow and balance sheet. Cash flow from operations was a net provider of $0.3 million for the year, primarily due to our increased activity levels, partially offset by the increased working capital requirements related to our record Q3 and Q4 revenues. Our cash balance was down from yearend 2012, but flat to Q3 at $4.1 million. Capital expenditures for 2013 increased to $2.3 million from $1.5 million in 2012, primarily due the infrastructure investments made during the second half of 2013, including the expansion of our Beaumont facility. During Q4, we amended and restated our revolving credit facility, extending the maturity to October 2015. We have $500,000 currently drawn on the facility and additional borrowing capacity of $7.9 million under the agreement. And our cash and revolver capacity continues to be sufficient to support our organic growth plans. As a final note, our Beaumont expansion remains on schedule and should be completed around the end of the second quarter. Now, I'll turn the call back to Charles for some additional color on how we are performing in our core markets.
Charles Dauber: Thanks, Andy. I'd now like to share some more information with you all about our results in Q4 and how we're positioned thus far in 2014. First, we'll talk about our markets. I traditionally begin and I'll begin again with our North American oil and gas sector, which is where we provide power systems and services for the upstream, midstream and downstream oil and gas sectors. Remember, upstream is land and offshore drilling and production, midstream is oil and gas pipeline and gas fractionation plants and downstream market is refining petrochemical facilities as well as LNG operations. For the year, oil and gas revenues were $40.8 million, which represented 62% of our consolidated revenues. For the quarter, 68% of our revenues or $12.4 million came from oil and gas, which is a 16% increase over Q3. Revenues came from projects across the oil and gas markets, with revenues coming from land drilling projects, offshore drilling projects, midstream fractionation segments, et cetera. Gross margin for the year for oil and gas were 19% and were 23% in Q4, with $18.6 million in oil and gas related backlog, which is down from the $27.1 million we had at the end of Q3. Looking ahead, we are seeing some mixed messages across the oil and gas sector. On the positive side, we see external data from company such as ConocoPhillips, who are very bullish on shale as are the folks from Siemens and company. But on the pessimistic side, there are those in the industry that feel that shale plays have had a peak. For us internally, the signs are mixed as well. We've seen a strong increase in land drilling opportunities for both domestic and international exploration, but that's also countered by a reduction in quoting activities related to some of the midstream opportunities we were seeing in 2013. Remember, our company's strategy is to have customers in both oil and natural gas oriented businesses and we are well-positioned across the upstream, midstream and downstream oil and gas markets, which should help us glide through any of the ups and downs that may occur in any of our oil and gas submarkets. Now, let me talk about our international affiliates, as they participate primarily in the oil and gas sector and also with China. As we talked about over several calls last year, we expect that BOMAY, which is the Chinese joint venture to be down in the second half of 2013, in the lows. The China BOMAY slowdown was a combination of both the Chinese economy being down, some project delays at our joint venture partner and our largest customer, CNPC, China National Petroleum Company, and BOMAY's sort of traditional seasonal drop that occurs at the end of the year in Q4. Looking ahead, we're actually slightly more optimistic on China than I was last quarter, and we now expect to see some China recovery in Q1 of this year. We're still optimistic, being long-term on China and still see many new opportunities for growth, but we're going to maintain a lower internal expectations for BOMAY for 2014, especially compared with 2013's record revenue. Let's talk about Brazil. Although, I am slightly more bullish on China than I was in my last call, we're still not bullish about the short-term and mid-term opportunity in Brazil. As I mentioned previously due to a weak economy in Brazil, the Brazil government is continuing to put pressure on Petrobras to slow their previously announced aggressive expansion plans. And we consolidated our operations in Brazil to focus on higher margin services work, while Petrobras works through their capital plans, which we expect to remain at this lower level for, I believe the next several quarters. In parallel, we're continuing to evaluate how to maximize our returns on our investments that we've made in the Brazil market. Moving to Singapore. It's a very interesting time for our Singapore joint venture, our M&I parties, which we call MIEFE, where we're seeing multiple opportunities for growth in the Southeast Asian oil and gas markets. Last quarter, I described that Oakwell Engineering, which is our long-time joint venture partner at MIEFE. The piece that owns MIEFE has been acquired by Sonepar Asia Pacific Limited, which is a subsidiary of the Sonepar Group out of France. We're now working with Sonepar to create a new plan for MIEFE for 2014, including how to best leverage their very broad customer relationships across Asia and leverage our technologies to increase the growth in the results for MIEFE. And I'll share that with you all as things progress. So let me move from the oil and gas sector into the power generation and distribution market. For the year, power generation and distribution had what we believed to be record revenues of $6.4 million, which is 10% of the AETI's total domestic revenue. In Q4, we had revenues of $1 million, but are down from $3.5 million in Q3. In quarter, we began the on-site startup and commissioning of that large, previously announced, project that provides power delivery equipment and controls for that 65 megawatt natural gas fired power plant in Alberta, Canada. Gross margins for the year were 20% for this group, but for the quarter margins slipped at 7% due to some higher than anticipated costs to close out several projects. Our backlog for that group is $2.1 million, up from the $1.8 million last quarter. Looking ahead, we're seeing some very solid opportunities in what it is called the distributed power generation sector, which are primarily related to natural gas-based power generation. What's happening in the market is that natural gas is transitioning from a peaking power fuel to becoming a base-load fuel, and is quickly moving to replace coal as a primary power generation fuel source in the U.S. We think that power generation business for us will remain lumpy, but we look forward to a good year in 2014 in this market. Next, onto our marine and industrial business, which comprises some of the company's traditional markets, including the marine vessel market and industrial businesses, that are not oil and gas or power generation related, things like steel, chemical, other things like that. For the year, the marine and industrial sector revenues were $18.2 million, which is about 28% of our revenue. In Q4, that group had revenues of $4.8 million, which is up 37% from Q3. Margins continue to lag in this sector. We saw gross margins of 14% for the year, although the gross margin was 15% in Q4, up from 13% from the previous quarter. The marine and industrial market had $2.9 million of backlog, up from $2.2 million, but we're remaining relatively conservative in our expectations from this sector in 2014. Now, we do see some interesting opportunities in the marine vessel market, but overall for 2014, we think the market is flat. If I look at our American Access Technologies' operation, in 2013, that group reported a loss of $700,000 on sales of 6.1 million compared with a loss of $500,000 on sales on 5.9 million in 2012. We have started an internal valuation, the potential options for that business unit, but had nothing specific to report on that at this time. In the quarter, when I added the backlog from the three market sectors, backlog was down to $23.6 million, a $7.5 million reduction from the record backlog we reported in Q3. So in addition to the segment-specific items I've already discussed, I think there's several other things going on that I'd like to share with you. First, June 2013, if you remember, we've done a significant amount of work, improving the quality of our sales and marketing and improving the focus there. And as a result, in the year we saw our average deal size increase and the bookings of some of the largest products orders we've ever had. That was good news, but created somewhat of a lumpy sales order pattern for us. In Q4, we did not see a lot of bookings activity, so that brought our backlog numbers down. Second, we have seen a recent softening in our midstream market, primarily for pipelines and gas processing plants. There are lots of new project opportunities from our current customers when we saw at the same point last year. Third, for a variety of reasons, we are yet to see additional purchases from some of our larger customers from last year, including one of our primary engineering and construction firm customers, one of our largest offshore drilling customers, and one of our largest distributed power generation customers. One of those customers lost his project, the offshore drilling customer is waiting on their customers to improve additional projects, and there is lots more of power generation projects in the queue, it's just not disclosed yet. Regardless of the various causes, we're responding aggressively to fill our backlog for the next six months. At the same time, as I mentioned earlier, we have seen a significant uptick in our land drilling and our distributed power generation opportunities, which we expect to begin booking this quarter for shipments in Q2 and beyond. One of the things I want to share, that I am excited about, is that some of those investments in sales and marketing are starting to pay-off. We've recently closed initial orders at some accounts that our competitors had locked up for many years, really our first order from some of these major accounts ever. If we performed well in these first projects, we have to leverage those initial wins for additional opportunities in 2014. So stay tuned and I'll keep you informed as things continue to progress. We're also making progress in pursuing some even larger capital projects. Remember, one of the several reasons we are doing the plant expansion of our Beaumont operation was to be able to be considered a qualified supplier for some of the large downstream projects that have been announced in the Gulf Coast region. The plant expansion is expected to be online in Q2, as Andy mentioned earlier, and we're excited about that. So to conclude, I would like to reiterate my appreciation for the support we've received from our shareholders, employees and customers, and say, thanks for the great 2013. I look forward to reporting more good news in 2014. This concludes the prepared portion of my comments, and I'll turn the call over to Jessica for the Q&A section of the call. Jessica?
Operator: (Operator Instructions) We'll go first to Les Sulewski with Sidoti & Company.
Les Sulewski : So could you help me understand with backlog, especially, you're seeing a little bit of a decrease in oil and gas, but improvements in power generation and distribution as well as marine? Can you perhaps give us a little bit of guidance on how you see 2014 play out domestically? Is it because of the order size that you mentioned that's lowering? Can you help us to get a little bit more color on that?
 Sidoti & Company: So could you help me understand with backlog, especially, you're seeing a little bit of a decrease in oil and gas, but improvements in power generation and distribution as well as marine? Can you perhaps give us a little bit of guidance on how you see 2014 play out domestically? Is it because of the order size that you mentioned that's lowering? Can you help us to get a little bit more color on that?
Charles Dauber: I think as I mentioned, sort of towards the end of the call, one of the interesting dynamics of this better selling is that we got the bunch of large orders last year, right. And we've seen sort of the average size of our orders go from $1 million, $2 million to $3 million, $4 million, $5 million, $6 million, $7 million, $8 million, $9 million type-projects. And so I think what that's doing is just making our backlog a little bit more lumpy, first of all. Second is, we have seen in one part of our business, which is the midstream market, a reduction in, I call it, quoting opportunities. So now versus a year ago there were just more companies pursuing more projects, in the oil and gas business, the thing that's always interesting to me is how quickly some of these things turn on and turn off and then turn back on, all right. And so I can't give you any sort of a future projection of what's going to happen in the midstream market for the year. I think the data is just mix externally and what we see from our customers. I think overall, we still think, the oil and gas markets are good. We see lots of opportunities in the upstream parts of the business. We're still seeing projects moving forward in downstream parts of the business, that's in the oil and gas, but there are still projects in the midstream part of the business, just not as many as there were at the same exact time last year. So there's probably going to be a little bit of margin compression for that particular part of the oil and gas business, which is one of our main market sectors. Power generation and distribution we think looks good. And marine and industrial, if I take the stuff that the M&I groups do, which is this steel and the chemical type-plants, I think that's going to have a reasonable year as well. So I don't know if that gives you sort of the answer that you're looking for, but that's probably the color that probably the key things or the drivers for how we think 2014 is going to look.
Les Sulewski - Sidoti & Company: And then, perhaps shifting strategy, how are you focusing on gaining new customers and what kind of feedback are you seeing for yourself there?
Charles Dauber: This is where I tend to get excited, and I have to be careful because what's been announced and not announced, but what we've, as I mentioned in previous calls, we really did revamped the sales management team and the sales team over the last 12 to 18 months. And we immediately put some of these people into developing relationships and breaking into some of the large players in the industries into their installed base accounts. And normally the sales time to go to sell to customers is six to 12 months and so we're starting to see some breaking wins into some of these very large accounts that we've never had before. So when I talked in the past, I think you remember, I talked about this, we think we were only calling on 20% of the accounts in the markets that we serve. And maybe that number is now up to 25% or maybe a little bit higher, but I think what's really happening is we're starting to get deeper into these accounts and they appreciate our value proposition on this custom, turnkey solution for their energy project requirements. So I think we're actually feeling good about those wins and are excited about sort of what's on the forecast and want to go close those.
Les Sulewski - Sidoti & Company: And shifting to gross margin, 19.7% fourth quarter. What's a good rate looking out? I know you had some improvements, just perhaps favorable product mix as well, any kind of outlook on that? What's your take on that, Charles?
Charles Dauber: I think we're continuing to do the work on the topline, which helps to spread our indirect costs over a wider revenue base. We're continuing to manage the projects as tightly as possible. We've implemented a new engineering management infrastructure. So we've got a sort of a layer of project managers who are getting even tighter on watching the dollars, and the hours, and the costs, and what not, so we're expecting a better visibility there. So I think that's all good. I think the construction business, the further we get away from the municipal construction, gross margin will remain solid. I think the question's from a gross margin for me, as we head into 2014 is, in the midstream market there's going to be some margin compression as those suppliers are fighting for a slightly reduced amount of quoting activity and then the American Access Technologies margins, which are challenging for us right now. But if I look at sort of the core business, I think the margins are good and are continuing to head in the right direction.
Les Sulewski - Sidoti & Company: And one last one for you. You mentioned Singapore improving. There is some shifting going on there. Can you talk a little bit more about that? Is this something that's going to be material in size in the near-term and perhaps can it be any larger than what you're currently seeing from BOMAY?
Charles Dauber: So two things. So one is Singapore is the MIEFE joint venture, and I'll talk about BOMAY in a second. But we are starting to see more opportunities related to Southeast Asia oil and gas. This is offshore drilling. We've had this operation in Singapore, for I think 17 years. MIEFE, I think we're seeing market more quoting opportunities coming in that we are involved with directly and helping them to try to pursue and win. So that's how we get visibility there. And I also think that our new joint venture partner, Sonepar, I forgot the number, $17 billion entity globally. They're one of the largest electrical distributors, if not the largest in the world. Their Asian group acquired our joint venture partner Oakwell, the piece Oakwell had in MIEFE, and they've got a ton of customers and a lot of relationships that we want to go leverage. So I think we're seeing some good things in the market and we're seeing some good things that we can potentially pursue with them. So that's I think what's going on in Singapore. Whether it's going to have a material impact this year, I can't tell you about the number. I am on my way to Singapore in a couple of weeks and we'll have more board meetings, and we'll know from there, in terms of how the plan looks for the year. As you had a question about China, for BOMAY, those are some of the specific I can answer for you.
Les Sulewski - Sidoti & Company: No, you almost answered it clear for the most part. I just wanted to see if the possibility of Singapore, MIEFE is anything near in size to BOMAY in terms of sales there?
Charles Dauber: Probably not in the next year or two. MIEFE I think that $12 million or so this past year, BOMAY did $89 million something like that. But I think we certainly see a nice growth opportunity and expect them to continue growing, but we've got some more work to do. I don't foresee them being a little in the size for the foreseeable future.
Les Sulewski - Sidoti & Company: And there was the three combined equity income somewhat relative in 2014 comparable to 2013 would you say?
Charles Dauber: I think China had a pretty good year. It was heavily front-end loaded and weaker backend. The seasonality thing for China in Q4 seems to starting to getting the pattern, right. The way to think about China is that we think that the market is slightly better, the noises we're hearing are slightly more positive. We won't know for sure until the communist party has ended their meetings and CNPC has their annual plan comes out at the end of Chinese New Year, which will be in the next couple of weeks. So by the end of March we'll have a better visibility at where China looks for the year with their plans. But again, we're feeling more positive about Q1. And look back at what I said in the last call, I was a little bit more less positive than we were positive about China in the first of this year. I think as it compares to last year, last year was a record revenue level. I can't say we're going to have that same level of revenue, but other than that I think the Chinese market is better than where I thought it was in last eight or six months.
Operator: We'll go next to Matthew Dhane with Tieton Capital Management.
Matthew Dhane - Tieton Capital Management: I was curious, the new sales force hires that you've made, where are they relative to your fully ramped expectations?
Charles Dauber: Sales takes a while to ramp, as you understand, right. And so I would tell you, I think that the impact that we're getting from the new sales people, overall were probably half way through that new impact, right. All of them are experienced guys, but they're building relationships for us in some new accounts that they may or may not have been calling on. So some of that just takes time and that takes taking the lunch, and that takes spending time with them and selling our value proposition and that whole thing. So what I'm looking at is the initial orders and the break in accounts, that's what we're starting to track internally, right. So this new sales guy broke into this new account, this new sales guy has been told that he is one that's following order, right. Those are the sort of things that I see happening. And that's why I'm judging are they half way there. The reason I don't give them full credit for being all the way there is because we don't see this sort of mass full impact of that sales investments that we made last year, in the backlog or in the revenue yet. So if momentum is high, excitement is high, customers, new customers, plant visits, just the whole thing is all in good swing, so I guess I'd tell you half way.
Matthew Dhane - Tieton Capital Management: And I was curious, do you expect to make any additional sales hires this year?
Charles Dauber: We're viewing in the sales thing is a couple of things. One is, we are sort of turning the knob slightly. We have some of our sales people that call on multiple sectors. So if they're calling on the marine vessel market and the offshore drilling market, if the marine vessel market is down, they'll stop calling on as many customers there and focus more to the percentage of time calling on the offshore drilling market, which is up. So we've done those tuning if you want to call it, in terms of refocusing and doing some resources. There are a couple of additional hires we're looking at making in some of the core oil and gas markets to increase our ability to penetrate those above the 25% to 30%, and maybe call on 40% or 45% in the market. And yes, those are still in play. None have been hired at this point yet, but that's part of the plan for 2014.
Matthew Dhane - Tieton Capital Management: Final question for me. The land drilling opportunity, did you spoke that that should be doing a lot better this year? How significant could that end up being?
Andrew Puhala: Let me answer it in a couple of ways. So land drilling projects typically are somewhere between one drilling rig and three drilling rigs, sometimes maybe four, or even up to six drilling rig packages as the drilling contractor gets the project to drill hole somewhere for one of their E&P customers. The part that's interesting for us is that we've transitioned our customers and we're not focusing on the lower technology DC type drilling rigs. We've now, with the acquisition of the company Amnor Technologies, a year-and-a-half-ago, now we have a very strong position, what they called it, the next generation drilling rigs, which is based on AC technology and there's automation, that comes with our DrillAssist. So not only does the value of the power systems and control systems grow up from sort of $500,000 to $700,000 in the DC package to some between $1.2 million and $2 million for an AC package, but the margins go up nicely as well. So if we can continue taking advantage of these AC opportunities we're seeing, aggressive on the sale side, I think we could see some nice business out of that AC land drilling business this year in North America.
Operator: There are no further questions at this time.
Charles Dauber: Thank you, and I look forward to spend time with you at the next call.